Operator: Good morning. My name is Joel, and I will be your conference operator today. At this time, I would like to welcome everyone to the Taseko's Second Quarter Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Mr. Bergot, you may begin your conference.
Brian Bergot: Thank you, Joel. Welcome, everyone, and thank you for joining Taseko's second quarter 2023 conference call. The news release and regulatory filing announcing our financial and operational results was issued yesterday after market close and is available on our website at tasekomines.com and on SEDAR. I’m joined today in Vancouver by Taseko's President and CEO, Stuart McDonald; Taseko's Chief Financial Officer, Bryce Hamming; and our Senior VP, Operations, Richard Tremblay. As usual, before we get into opening remarks by management, I would like to remind our listeners that our comments and answers to your questions will contain forward-looking information. This information, by its nature, is subject to risks and uncertainties that may cause the stated outcome to differ materially from the actual outcome. For further information on these risks and uncertainties, I encourage you to read the cautionary note that accompanies our second quarter MD&A and the related news release as well as the risk factors particular to our company. I would also like to point out that we will use various non-GAAP measures during the call. You can find explanations and reconciliations regarding these measures in the related news release. And finally, all dollar amounts we will discuss today are in Canadian dollars unless otherwise specified. Following opening remarks, we will open the phone lines to analysts and investors for questions. I will now turn the call over to Stuart for his remarks.
Stuart McDonald: Okay. Thank you, Brian, and good morning, everyone. Thank you for taking the time to join our call this morning. Operationally, it was a decent quarter at Gibraltar. We had copper production of 28 million pounds, which is up 12% from Q1, and unit costs also declined. As we've spoken about previously, the lower benches of the Gibraltar pit are producing higher grade, more continuous ore zones, and the pit is set up very well for ore release over the balance of this year. Head grade in the quarter averaged 0.24%, and we should see similar levels for the rest of the year. Mill availability was the main operational challenge that we faced in the quarter. We had several maintenance downs in April and May. As a result, mill throughput for the quarter was just below 80,000 tons per day, which is below target. However, since early July – or since early June, the situation has much improved. And we've been operating at closer to 90,000 tons a day. And the softer ore in the Gibraltar pit is being processed very well. Improved mill performance allowed us to produce 11 million pounds in June and again in July. We're expecting second half copper production to be roughly 15% higher than the first half of this year, and we remain confident in our original production guidance of 115 million pounds of copper. Turning to our financial results now. Sales volumes in Q2 were lower than production as we had a small inventory build. And the average realized price also dipped to $3.78 per pound from $4.02 in the prior quarter. It also averaged about $4 last year. These changes have a meaningful impact on Gibraltar earnings and cash flow, and we have a lot of leverage to the copper price. The price trend in recent weeks has been positive, and it's currently hanging in the $3.90 per pound range. That's up about $0.20 per pound since quarter end. It's also notable this quarter that copper and moly price changes led to an $8 million write-down of our ore stockpile inventory. That's $0.03 per share impact on GAAP earnings, adjusted earnings and EBITDA. With that, we still reported $22 million of adjusted EBITDA and earnings from mine operations of $28 million. Our unit operating costs declined quarter-over-quarter down to $2.66 per pound. That's a 10% reduction over Q1, partly due to lower diesel prices and cost reductions in a few other areas, but the higher production level was the biggest factor. An offset was the lower moly byproduct credit as average molybdenum prices dropped from $33 per pound in Q1 to $21 per pound in the second quarter. Overall, we expect our C1 unit cost to continue to decline in the second half of this year as copper production increases. Capital spending remained at elevated levels again in the second quarter, both at Gibraltar and Florence. Work continued on construction of the new site for the in-pit crusher at Gibraltar. And as we noted in the past, the actual crusher move has been deferred until Q2 next year. But this has been a significant capital project for us, about C$50 million in total on a 100% basis. But most of that spending has already been done, with about $10 million left to go next year for the physical move. After that move, we'll be able to continue advancing into new ore zones in the connector pit. And of course, spending has continued at Florence as well as we continue to receive long-lead items on site in preparation for construction. Bryce can add some more details on CapEx in a minute, but certainly, the capital projects this year have impacted our cash flow, especially in light of a lower copper price in the second quarter. But with Gibraltar CapEx mostly behind us, we expect solid free cash flow generation from the mine over the remainder of this year. As far as permitting process at Florence, the message remains the same. We're in regular contact with the EPA, and we continue to see them taking the final steps towards issuance of the final UIC permit, and we don't see any significant issues or concerns emerging. In fact, in June, the EPA circulated the final programmatic agreement for signature, which we see as another positive sign that they're readying to issue the UIC permit. It's been a lengthy and tedious process, and we need to keep patient and allow the agency to finish the final steps of their work. But we do remain confident it will be a positive result very soon. We're using the additional time to deliver the right financing package for the project. The remaining CapEx that we disclosed a few months ago was about US$230 million. And with our existing liquidity and the funding commitments received from Mitsui and Bank of America, we already have a large portion of that financing in place. We continue to advance discussions on project-level financings, which could include a copper royalty or a small project loan. Progress is being made on both fronts and tracking with the expected permitting timeline. Two last topics to touch on and both have been in the news recently in BC. Firstly, the port strike, that occurred in the first half of July, and it delayed copper concentrate shipments to be in our third quarter. It was a two-week strike or a two-week labor disruption at least and created quite a backlog of cargo for Taseko and all the other shippers that operate on the West Coast ports. We're now supplementing our regular rail service with trucking to try to reduce the site inventory levels in the coming months. Secondly, the wildfire situation. It's been a very active fire season here in BC and in other parts of Canada as well. To-date, there's been no impact to Gibraltar operations, although in July, we did have a fire break out just a few miles from the mine site. But it was contained and no longer present any risks to the site. We're grateful for the work of the BC wildfire service and the many others that are working hard to keep communities around our province safe. And with that, I'll turn the call over to Bryce for some more details on the second quarter financials and an outlook. Over to you, Bryce.
Bryce Hamming: Thank you, Stuart, and welcome, everyone. As Stuart mentioned, it was a fairly straightforward quarter, but I'll provide some additional details. Sales in the quarter were 26 million pounds of copper, generating $120 million – sorry, $112 million of revenue, both of which are in line with the first quarter. Taseko realized a price drop from $4 to – in Q1 to $3.78 per pound in the second quarter. Despite the drop in copper price, revenue remains strong as we now consolidate the 12.5% of Gibraltar that we acquired from Sojitz, and this was the first full quarter of that additional ownership interest in our financial results. In the second quarter, total site costs were $105 million. This is $7 million lower than the first quarter. We saw lower diesel costs as well as lower purchase electricity, natural gas, explosives, and contractor services in the quarter. Another significant impact on our C1 costs in the second quarter was the moly byproduct credit. As Stuart has already mentioned steep drop in moly price from the low $30 range in Q1 not only affected our revenue, but also resulted in negative price adjustments in the quarter for prior sales. So our byproduct credit dropped from $0.37 a pound to $0.13 a pound in the second quarter. Going forward, we should see this increase. The lower site cost combined with higher production in the quarter drove our C1 costs from $2.94 per pound in Q1 down to $2.66. In spite of the lower byproduct, we expect this to decrease further in the second half as production increases. For the quarter we had $22 million of adjusted EBITDA. Earnings were negatively impacted by notable write-down of our lower grade ore stockpiles due to the decline in copper, moly prices and foreign exchange. This resulted in the charge to the P&L of $8 million, which has also reduced adjusted earnings by $0.03 per share as we don’t normalize for this non-cash charge. GAAP earnings in Q2 was $10 million or $0.03 per share and adjusted net loss of $4 million or $0.02 per share loss. Most significant difference between GAAP earnings and adjusted net loss was the unrealized foreign exchange gain related to the weakening U.S. dollar, which reduces the value of our debt in Canadian dollar terms. Based on our average realized price of $3.78 per pound in Q2, we continue to have a healthy operating margin of over $1 per pound. With ongoing volatility, it’s worth highlighting to you that we still have our price protection in place for the next five months, which secures a minimum copper price of $3.75 per pound for 35 million pounds or 7 million pounds a month. Copper price showing signs of recovering, we could look to add to this hedge position to cover 2024 in the coming months ahead if the markets allow and as we prepare for Florence construction. Capital spending in the second quarter was notably higher. We spent $31 million at Gibraltar in sustaining and capital project expenditures with notable spend on the in-pit crusher relocation project, as well as major maintenance on one of our large mining shovels, which was a $10 million program in our sustaining capital costs. Most of that spending for the crusher is now complete until the equipment is physically moved next year in Q2. We also purchased new equipment for the mill and did component replacements on our fleet in the quarter. So sustaining capital and spend on capital projects at Gibraltar will be much lower in the second half of this year. At Florence, we capitalized $13 million in the second quarter for the total year to date spend of CAD27 million. We’ll see the Florence burn rate reduced in Q3 until the final permit is received and we begin construction. We ended the second quarter with approximately $180 million of available liquidity with CAD86 million in cash. Just to wrap up, I’ll touch on some of our financing transactions that we announced and closed in the quarter. The first was the increase to our corporate credit facility from $50 million to $80 million. We had announced in February of this year that this facility had been extended but also increased subject to credit approval. In June ING Capital was officially added to the syndicate and the amendment to $80 million was fully credit approved. We continued to see commercial banks supporting us in our copper business and our growth ambitions. The other significant transaction was an amendment to our Gibraltar silver stream with the Osisko Gold Royalties, a long standing partner of the company, we increased the payable silver from 75% to 87.5% to coincide with our purchase of our 12.5% interest in Gibraltar from Sojitz in Q1. We received just shy of CAD14 million for that increase in silver deliveries. And finally, we also put in place an ATM during the quarter as a standby option to support our Florence construction needs if needed over the coming years. We see this as just another tool in the toolbox that the company preparing for construction should have. We did not issue any shares under the ATM in the quarter. With that, we are ready to take questions now operator.
Operator: [Operator Instructions] Your first question comes from Ed Brucker with Barclays. Please go ahead.
Ed Brucker: Hey, thanks for taking the question today. My first one just is on Florence. With a lot of some of the pre-buys you’ve been doing machinery there, do you think that production timeline for Florence has shortened at all? Or do you think kind of start to finish still 18 months?
Stuart McDonald: Yes. Hi. Ed, it’s Stuart. It’s still in our view an 18 month project. I think some of the spending that we’ve done has certainly de-risked that timeline and it’s allowed us to start promptly on receipt of the permit, but it’s still an 18 month project.
Ed Brucker: Got it. And the time in between you receiving the permit and construction is relatively short?
Stuart McDonald: Relatively short. I mean, we certainly need to a little bit of time to mobilize the team. We have cut our spending in the last six months here in terms of contractor readiness and things like that. So it takes – it’ll take a month or six weeks to get people mobilized and then we’ll be into it and the schedule will or the spending will ramp up from there.
Ed Brucker: Got it. Just my last question, given that it’s August now hope to get the EPA decision there, 18 months from now kind of puts you close to the – when the 2026’s are going to go current, so just wanted to get your thoughts on that maturity and if you would do anything proactive with it?
Stuart McDonald: Well, yes, I mean, certainly keeping, it’s not really top of mind for us right now. I think we want to get Florence permitted and financed and going into construction. But certainly as we get into the second half next year, we’ll be keeping a close eye on markets and looking for an opportunity to refinance that. I think we have a good story to tell obviously with Florence coming online, it’s going to be a very meaningful growth story for the equity and for bond holders as well in terms of its cash flow generation and it’s impact on our credit. But no specific plans on the refinancing at this stage.
Ed Brucker: Got it. Thanks. That’s helpful.
Operator: Your next question comes from Craig Hutchison with TD Securities. Please go ahead.
Craig Hutchison: Hi, good morning guys.
Stuart McDonald: Good morning,
Craig Hutchison: My question is on molybdenum. If I look at your Technical Report last year, you were kind of targeting an annual run rate of close to around 2.5 million pounds a year. It looks like you’re trending closer to 1 million pounds this year. Now that you’re deeper in the benches at Gibraltar, can we expect a fairly significant uptick in moly production over the next say, couple quarters and into next year?
Richard Tremblay: Yes, good morning, Craig, Richard here. So molybdenum at the start of Gibraltar pit we saw grades being well below kind of life of mine averages, and we do expect the grade as we keep going deeper to kind of get back closer to the life of mine averages. So that combined with the higher throughput in the mill we’ll see improved moly production for the remainder of the year.
Craig Hutchison: Okay. Great. And then just encouraged by your comments that you expect Gibraltar to generate free cash flow here in the second half. But can you give us kind of a sense of what the total capital spend is for Gibraltar? What I mean by that capitalized, stripping, sustaining, and anything kind of development related?
Stuart McDonald: For the second half, you’re focusing on…
Craig Hutchison: Yes, please. Yes.
Stuart McDonald: It’s really going to drop off on the capital projects. The crusher work as we noted there is essentially done for the year and we’ll – the final piece there, we’ll pick up in Q2 next year. And then, the other piece that hit us in this quarter was major maintenance 10 million for the shovel. And that’s a one-off as well. It doesn’t – we don’t expect any of those items to hit us in the second half. So we should be really kind of normal run rates for CapEx here in the second half. I don’t know what that something in the range of, I don’t know, 10 million to 15 million perhaps over the next six months, something more typical, maybe closer to 10 million. Yes. And then capital strip is coming from – we’re deep into ore in the Gibraltar pit. The capital strip in the first half of the year came from the stripping we’re doing on the connector ore zone. And that’s not much happening there in the third quarter. It’ll pick up a little bit again at the end of the year in the last few months, but generally capital strip should be pretty low here for the second half. You might see another 10 million bucks in Q4 perhaps. That’s a very rough number.
Craig Hutchison: Okay, great. Thanks guys.
Operator: Your next question comes from Alex Terentiew with Stifel. Please go ahead.
Alex Terentiew: Hi guys. Good morning, everyone. Just two questions for me. First on Florence. I’m curious with – have you guys secured, I mean obviously, actually haven’t secured yet since you don’t have the final EPA permit, but asset [ph] sources for the mine when it gets up and going. I’m wondering with asset prices in various regions coming down now, is there an opportunity to secure supply? I believe the prices now in the spot market are probably less than what you used in your – in the tech report a few months ago. So that’s first question. And the second one at Gibraltar, it’s good to see costs coming down. You guys are guiding to a better cost in the second half of the year as well. What’s driving that? The strip ratio of the last two quarters has been a little bit lower than I expected, so that’s good. But I’m just curious, what sort of strip ratio or haul distances a little bit shorter or what else is in there that’s driving the lower costs?
Stuart McDonald: Do you want to speak to asset supply there?
Richard Tremblay: Yes. No problem. Yes. So Alex, It’s Richard. So for the asset supply, we’ve been in ongoing discussions with suppliers in the market and there’s a lot of interest in supplying the Florence site. So certainly staying in close contact with what the market is doing and we’ve gotten really positive and strong indications from the asset suppliers about what we can expect going forward. And those conversations are ongoing and really we won’t finalize anything until we get the UIC permit in hand and see the timing. There’s some pretty interesting developments with supply or storage being put in place close to the project site, which greatly helps on the asset price.
Alex Terentiew: Yes, okay. That’s what I was hoping to hear because I think otherwise if you bring it in from California, it’s quite a bit more expensive for just the transport cost.
Richard Tremblay: Yes. Okay.
Stuart McDonald: Yes. Alex, your question on the cost at Gibraltar, as I think the big item there is just production increasing, right? It’s always the denominator as you know, whether you’re milling 0.22 or 0.25 or your costs are the same and so it’s getting the pounds out, which is the biggest driver of reducing our costs. I think we noted our site spending was a little bit lower in Q2 versus Q1. Diesel costs have come off and a few savings here and there on the site. But it’s – they said it’s a fixed cost operation. We have our fleet running 24/7 and we really have to get the pounds up to get our unit costs down. I think if you look at the second half with our production guidance, if we can achieve that, yes, we should see a meaningful reduction in Q1 below Q2 levels.
Alex Terentiew: Okay. All right. Makes sense. Yes, that’s it from me. Thank you.
Operator: Your next question comes from Alex Bedwany with Canaccord Genuity. Please go ahead.
Alex Bedwany: Good day guys, and thanks for taking the call. Just two questions for me. First one is, are you concerned at all with mill availability given the rates over the last three quarters? So I obviously acknowledge that the fourth quarter was affected by severe weather. And the second one is along the lines of financing. So obviously you’ve expanded the headroom on the revolver and you’ve got the ATM facility there. You’re also considering a royalty. How do you sort of think that these things will move once you get the permit? Will you be drawing down on the – on all of the revolver? And will that happen in tandem with the ATM facility? Or are they independent of each other?
Richard Tremblay: Yes, Alex, for the mill availability question, the downtime that we’ve incurred here the first half of the year has really been focused in the grinding circuit and dealing with some maintenance and alignment issues that we had going on in the grinding circuit. We have those resolved now and we’re continuing to monitor closely as we go forward. But all indications from our performance in June and July is we should be back to normal kind of downtime incurred, downtime events in the mill, which mill availability then is going to be in line with kind of our expectations. So don’t expect that to continue. Long answer, but don’t expect that to continue.
Stuart McDonald: Yes, maybe just – maybe I can just speak briefly on the financing. The way we’re thinking about it right now. Alex is Stuart speaking here. We’ve got 75 million committed from Mitsui and Bank of America, and it’s a 230 million U.S. of remaining spend. We’re looking to raise something in the range of a US$100 million of project level financings give or take. And that’s – as I noted, that’s as we’ve been talking about for a while, it’s going to be a combination of royalties and project debt. I think we’re making progress on those discussions and we’re optimistic. We’ll have some announcements soon on that. So that’s 175, I think out of the 230, I think the last or would be if we’re successful. The last piece is going to come down from the corporate level from Taseko over the last 50 million or 60 million. And as you noted, we have the revolving credit facility. We have 180 million Canadian of available liquidity right now and cash flow from Gibraltar and then we do have the ATM there as a backstop as well. It’s not in our – it’s not our intention to be using that as a primary funding source at this time and we haven’t drawn it yet. So yes, that’s kind of how we’re thinking about the total package. In terms of the order of how we spend money, I think that’ll come down to how the final financing negotiations play out at Florence in terms of whose capital is going in first. But we’re – yes, we’re confident that the money will be there and that we’re in a strong financial position for us.
Alex Bedwany: Great. Okay, thanks Stuart and Richard.
Operator: There are no further questions at this time. Please proceed.
Brian Bergot: Okay. Thank you. Thanks, operator. Thanks everyone again for joining and enjoy the rest of your summer and we’ll talk to you in the fall. Thanks.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.